Executives: Michael Weitz – Senior Vice President, Investor Relations
– : George Barrios – Chief Financial Officer
Analysts: Robert Routh Marla Backer Michael Kupinski
Operator: Good morning. My name is [Shekila] and I will be your conference operator today. At this time, I would like to welcome everyone to the WWE First Quarter 2011 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Michael Weitz, SVP of Investor Relations, you may begin.
Michael Weitz – Senior Vice President, Investor Relations: Thank you and good morning everyone. Welcome to WWE’s first quarter 2011 earnings conference call. Joining me for today’s discussion are Vince McMahon, our Chairman and CEO and George Barrios, our CFO. We issued our earnings release earlier this morning and we’ll be referencing a presentation as part of our discussion. To clarify our performance and shed light on trends in the business, these and other materials, such as quarterly financial and metrics schedule are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management estimates. Actual results may differ due to numerous factors. These factors are described in our presentation and in our filings with the SEC. Reconciliations for non-GAAP financial information discussed on this call can be found in our earnings release and on our website. Today, we will review our financial results for the first quarter 2011 and we’ll follow this review with a Q&A session. At this time, it is my privilege to turn the call over to Vince.
Vince McMahon – Chairman and Chief Executive Officer: Good morning everyone. I’d like to make reference of course to the somewhat disappointing first quarter. As you recall though the revenue from WrestleMania is not figured in this quarter. And speaking of WrestleMania that revenue from a domestic standpoint is up 30% over last year. Notwithstanding as well there is a impairment in terms of the film performance although in this quarter we recorded more revenue than we did a year-ago in the same quarter, which is unusual. I have no idea why there is natural film impairment, but nonetheless that’s somewhat of an accounting procedure. And there are some challenges here in the first quarter. Pay-per-view revenue was essentially flat although there was decline of about 7% of actual buyers, comparable buys. I believe that this does not reflect of course WrestleMania as I mentioned before does reflect as well. Our RAW Television Ratings as well as Smackdown Television Ratings all of which were up does reflect as well one of our initiatives with the New WWE so to speak the success of a reality show entitled Tough Enough, along with many other opportunities that are coming our way in terms of the New WWE.  Let me explain that because it seems to be some misunderstanding. This is not a departure of what it is we do. No, it’s not a change in focus on what our core product whatsoever. And what it is a different way of looking at business. In terms of our core competency, which we have, whether it’s licensing or any other core competency and simply using those competency in a different way for argument sake in terms of licensing whether being the lives (indiscernible) all the time, we have the same context, the same distribution relationships, so liking would be license if the right property is there. From the Live Events standpoint we do - Live Events have all over the world, we know all about Live Event booking. We’re not used at television production same thing. Television production is second to none anywhere on the world. There are many television opportunities in terms of production and things of that nature. So, it was not a focus away from our core on the contrary. It’s more of an intense focus on our core, but using our core competencies to broaden our potential of revenue prospects. That’s really what the New WWE is in a nutshell. So, I'm sure there are going to be a lot of questions and George why don’t you just jump in there.
George Barrios – Chief Financial Officer: So thanks Vince. I would like to start by sharing my perspective of the company’s first quarter results. Several items especially timing of WrestleMania and $2.8 million impairment of our film 12 Rounds impacts the comparability of our results on a year-over-year basis. As a reminder, WrestleMania was staged in the second quarter of this year compared to the first quarter of last year. The first quarter of this year had $1.4 million in marketing costs to promote WrestleMania compared to a $13.1 million profit in the same quarter last year. Schedules outlined in these adjustments are shown in our press release on page 9 and 10 of our website presentation. Adjusting for these items our profit contribution declined 2% to $50.9 million as increased film and Live Events costs, more than offset strong growth from our toy and video game licensing. On an adjusted basis, operating income declined 23% from the first quarter of last year, reflecting a 16% increase in SG&A costs. Reductions in the prior year to legal and bad debt expenses reduced our total first quarter SG&A expense below its run rate for the remainder of that year. To clarify the trends in our business, I will discuss our performance on an adjusted basis, excluding the impact of WrestleMania and the film impairment as I have just described. You should also know the changes in foreign exchange rates had a negligible impact on revenue and profit. For a more detailed review of our performance in the quarter, let’s turn to page five of our presentation, which lists the revenue and profit contribution by business unit as compared to the prior year quarter. Starting with our Live Events including merchandise sales at these events, revenue was essentially flat to the prior year on an adjusted basis. Our Live Events in North America generated a 4% increased in revenue due to the addition of three events in the region. In North America, the 12% decline in average attendance to 6,400 was offset by 12% increase in average ticket price to $36.46. Overall modest domestic growth was offset by a decline in revenue from our international events. Average attendance of these events declined to 26% to 8,400 in the prior year quarter due in part to changes in territory mix. Ticket prices of our international events declined approximately 5%. Although our overall Live Events revenue was essential flat in the prior year, profit contribution declined 14% reflecting changes in the mix of venues at which the events were held. Turning to our pay-per-view business, revenue was essentially flat to the prior year on an adjusted basis. A decline in revenue from the comparable events in the quarter was offset by higher revenue from prior period buys. Revenue generated by Royal Rumble and Elimination Chamber decreased 10% reflecting a 7% decline in comparable buys in this timing of our pay-per-view distribution in the UK. Our television partner in the UK selected one fewer events in the period for distribution via pay-per-view instead that pay-per-view was distributed in the UK as a television special. Revenues from the distribution of our television programming increased by 7% or $2.2 million led by comparable dollar growth in domestic and international distribution, contractual increases from our global television agreements and the impact of revised contract with a Canadian television partner were partially offset by the absence of rights fee for our NXT program. Under the revised contract we have received television rights fees rather than advertising revenue. The change in NXT right fees occurred as NXT was moved to our wwe.com website in October 2010. Subsequent to quarter end we also discontinued the broadcast of our WWE Superstars program on domestic television. We continue to evaluate alternatives to maximize our programming revenue. In our Consumer Products segment our licensing revenue increased by 20% or $4 million primarily due to higher royalties earned by our toy and video game products. Revenue from toys increased 86% from the prior year due to the strength of our partnership with Mattel and increased sales with the continued success of our new toy product line. Revenue from video games increased by approximately $2.2 million reflecting more favorable economic terms from the extension of our video game licensing agreement. During the quarter shipments of our SmackDown versus RAW video game declined 23% to 2.7 million units with declines across almost all game platforms. Recognizing the potential for new video game products, we work with our partner THQ to launch a new game WWE All Stars. Sales of this game, which debuted in March, will be recognized in our second quarter results. Our Home Video revenue increased 7% or $0.5 million reflecting a 7% increase in unit shipments and higher sell-through rates that more than offset our reduction in effective prices. Specifically, unit shipments increased 7% to 872,000 units in the quarter while their average effective price fell 6% to approximately $13, reflecting the impact of ongoing discount and promotional activity. In our Magazine Publishing business revenue decreased 21% to $2.2 million primarily due to lower newsstand sales while realizing an increase in our average cover price. Newsstand sales of our WWE Magazine fell 28% to approximately 240,000 copies while the Magazine’s average cover price increased 5% to $7.32. In our Digital Media segment revenue was essentially flat to the prior year quarter on an adjusted basis. Excluding the impact of WrestleMania, increased sales of online merchandize were offset by lower mobile revenue attributable to the expiration of a wireless contract. Revenue from e-commerce increased 13% or $0.4 million fueled by significant promotional activity. The number of online orders increased by 35% to approximately 83,000 while average revenue per order fell 15% to $40.59, reflecting the impact of special discount pricing. During the quarter, WWE Studios recognized revenue of $8.6 million compared to $3.4 million in the prior year, with the growth in revenue driven by the release of our latest film, The Chaperone. The growth in revenue also reflected to a lesser extent receipts from our film 12 Rounds. However, revised long-term ultimate projections for this film resulted in a $2.8 million impairment which contributed to a $5.5 million reduction in overall film profits. Given the non-cash estimate base nature of this charge we have excluded the impairment of 12 Rounds from our adjusted income and earnings. The remaining decline in film profit was due to lower receipts from our other licensed films and the previously disclosed change in our distribution model for films. Under our self distribution model, we record a film’s advertising and distribution expenses in our result as incurred. As a result, our financial statements reflect a loss of $1.5 million associated with the release of The Chaperone, primarily due to the recognition of advertising cost that’s incurred. Our overall profit contributions declined by 2% or $1 million on an adjusted basis as the strong performance of our licensing and television distribution was offset by lower results from our films and increased live events cost. Adjusted gross profit margins declined to 42% from 47% in the prior year almost entirely due to decreases in the profitability of our film projects. Excluding our film results from the calculation of adjusted margin, it shows that the profitability of our non-film businesses declined only 40 basis points and remain just above 46%. For the quarter, adjusted SG&A expenses increased 16% to $29.9 million reflecting increases in severance costs and legal expenses. In addition, prior year collections or reserved amounts previously deemed uncollectible, reversed bad debt expense in the first quarter of last year. As a result, SG&A expenses in the first quarter of last year were well below our established run rate. Page eight of our presentation compares the quarter-over-quarter results and provides a summary of changes by business. As shown, adjusted operating income declined 23% to $17.4 million driven by the increase in SG&A expense. Similarly, adjusted net income, as referenced on page 10, declined 24% to $11.2 million reflecting the decrease in operating income and a rise in our effective tax rate of 37% as compared to a 33% rate in the prior year quarter. The unusually lower rate in the prior year period was primarily due to the recognition of previously unrecognized tax benefits in accordance with FIN 48. Page 11 of the presentation contains our balance sheet which remain strong. On March 31, we held $186 million in cash and investments with virtually no debt. Page 12 shows our free cash flow. For the quarter, we generated approximately $25 million of free cash flow compared to about $38 million in the prior year quarter. The decrease was driven primarily by the decline in operating performance. Other factors had a significant, but offsetting impact on free cash flow. In the current quarter, we spent $10.1 million less on feature film production and received a $9 million federal tax refund. However, the favorable impact of these items was offset by the absence of approximately $9.1 million in TV production incentives and $7.5 million received as an advance from a license fee in the prior year quarter. Looking ahead, we are cautious about our short term business outlook and very optimistic about our long-term prospects. In the short term, our year-over-year performance will be impacted by our decisions regarding NXT and WWE Superstars program as we evaluate alternatives to maximize our programming revenue. In addition, we continue to face economic headwinds and continue to manage the transition in our talent base. We expect these factors will flatten our second quarter profit contribution when compared to the prior year on a comparable basis that is excluding WrestleMania. As our management team endeavors the strength in our performance over the remainder of the year, we expect a more limited effect from these factors. As we manage the company, our overarching objective is to drive and maximize shareholder value. This requires striking the right balance between returning capital to shareholders and investing in our future. Last week consistent with this objective, we announced a revised dividend policy. Beginning in June of 2011, WWE’s quarterly dividend will be adjusted to $0.12 per share of common stock held by the company’s shareholders. All Class A and Class B shareholders will receive dividends in the same per share amount. As a result, this change eliminates our unique dual payment structure. The rationale for this change was primarily to align our dividend pay-out with our current level of earnings and cash flow. Indeed the revised dividend was set based on target pay-out ratios and liquidity levels. Compared to our cash flow and earnings which average $50 million over the past three years, our revised dividend represents a pay-out of approximately 70%. Although the result in pay-out ratio fall significantly below the 160% average over the past three years, the revised dividend will continue to return significant cash to our shareholders. Based on the May 4th stock price it provides a yield of 4.5% representing a roughly 150% premium to the S&P 500. Further, our Board will continue to review the company’s dividend policy on an ongoing basis including the appropriateness of one-time returns of capital. In addition to providing a healthy return to investors, aligning our pay-out with our current cash flow and earnings significantly enhances our financial flexibility. Specifically, it protects the company in the context of a vital global economy, provides sufficient liquidity for our operation, facilitates the investment in our current businesses and enables us to take advantage of important strategic opportunities all while returning cash to our shareholders. These opportunities exist because the consumption of media is changing dramatically. With the evolution of technology, new distribution channels are emerging, such as Netflix, YouTube, iPad applications just to name a few. As competition for content intensifies, we believe that WWE as a content creator and owner is in an ideal strategic position. The New WWE initiative, which we’ve announced, encompasses various factors to maximize the value of our content and to generate additional value based on our core competencies. These include things such as leveraging our strength, for example in TV production or licensing to offer new products and services to other business. They also include the possibility of acquiring new assets and exploring new forms of distribution, such as a WWE Network or over-the-top distribution that does not involve a network operator. You should note that we’ve developed a prudent systematic approach to acquisitions. This approach is defined by a distinct set of objectives, valuation measures and financial criteria. Our objective is to find target close to our netting, where we can add value, leverage economies of scale and realize overhead cost synergies where possible. Our valuation criteria include things such as strategic brand and cultural fit, ease of replicability, integration risk, geographic coverage and financial strength. Our strong balance sheet, existing debt capacity and ability to generate significant operating cash flow provide the capital required to make these investments. Based on trends in the media industry, we believe that we have meaningful opportunities to drive value. By executing on our New WWE initiative including acquisitions we are targeting growth that meets or exceeds our previous goal mainly 15% to 20% average earnings growth over the 2010 to 2013 period. That concludes this portion of our call and I will now turn it back to Michael.
Michael Weitz – Senior Vice President, Investor Relations: Thank you, George. Operator, we’re ready now. Please open the lines for question.
Operator: (Operator Instructions) Your first question comes from the line of Robert Routh.
Robert Routh: Yes, this is Rob with Phoenix Partners. Two quick questions. First, again in the results you’ve seen the pay-per-view obviously the environment is changing quickly because of all these over the top services and on-demand stuff. Can you comment a little bit about how MMA and that has impacted you guys, are you not really seeing that? And then you talked a little bit acquisition or maybe building a network, which I think will make a ton of sense. I'm just curious as to how serious about that you think you are and what kind of platform would you be leaning more towards on your broadcast, cable network or something like game, TVs doing which is basically Internet based I mean are you evaluating all these alternatives?
Vince McMahon: This is Vince responding to your question Robert. As far as MMA is concerned we don’t really from a strategic standpoint see MMA as a direct competition to us. Other than the fact, that it is on pay-per-view like any other attraction and there is a lot of attraction. And where we find that were there is a somewhat of an influence, would be if they are right next to, if we have a pay-per-view generally on a Sunday night, if they are on the preceding Saturday night, the night before that can have an impact, not necessarily because of the crossover of the purchaser, but because of the way that all of the promotional material on the cable system is eaten live there by two, obviously is then towards close to one. So MMA in and of itself that does not hurt WWE anymore than boxing did in the past quite frankly, that’s their competition is boxing. From the network standpoint, we have received a very favorable reception. As far as presentation to the traditional way of doing a network, although as you mentioned I’m not so sure the dollars are not going to be somewhat of a hybrid, whether its involving Netflix or apps or just what it is because the opportunity here to drive revenue from so many different directions is amazing, it’s great at this moment to be an owner and the creator of your own content that we all sorts of opportunities. And again I think our network isn’t all likely, there is going to be some sort of a flexible hybrid of what is known now as a network.
George Barrios: I think the only thing I’d add to that Robert, regarding the seriousness last year we talked about investing roughly $4 million in capital to digitize significant portion of our library our 110,000 hour library. By the middle of this year we have 27,000 program hours digitized and in our K we’ll also talk about looking forward on an investment to take now that digitize library and begin creating new programing and also investing roughly $4 or $5 million to do that. So, I think those are couple of proof points on the seriousness.
Robert Routh: Okay great and then just one follow-up to that. Obviously with the situation of Netflix and the Stars, they getting the streaming rights and all these over the top provider, if you don’t have content or begging for it and Amazon just came out with something. They’re getting high prices as you guys know and obviously you guys own your library, you own all the rights to it and I don’t think the balance sheet reflects its true share of value because of the accounting rules. I’m just curious if you could comment a little bit on the opportunities in addition to your own network to monetize parts of your library you may not view as strategic this quarter, what you want to do by selling those digital streaming rights to any of these to the top providers have explored that and so any sense as to what you possibly could get in terms of licensing fee for that. So I think it could be fairly large, given what you have.
George Barrios: Yeah, I mean I think we’ve mentioned in the script about evaluating best ways to optimize our content and really get to that both, new original programming as well as our libraries. So if you look at that those things as the raw material, the outlets are many. And as Vince mentioned I think there is a very good chance that it will be a hybrid, things that look like a traditional network as well as other services maybe subscription based, ad revenue based, license based that allow us to monetize it. So the short answer is we think there is a really good opportunity into the future. The exact manifestation of that, I think that’s still to be determined. But we’re pretty bullish about a new hit on it. We own our entire library, 100% of the rights. That’s a fairly unique place to be in and we look forward to making use of that.
Vince McMahon: We have, as far as programming is concerned, two new Live Event television programs which we will be rolling out in the not too distant future and finding a home for those is going be very, very easy.
Robert Routh: Okay, great. I guess one last question, you did mention looking at acquisitions or things like that, obviously the WWE change, the branding change makes sense in terms of being able to do things that makes sense with the core business. I am just curious as to, can you give us any kind of sense as to what things other than a network would make sense, you’re looking at health and wellness companies and to nutritional supplement, any sense as to what you think could make sense given the strength of your brand and your ability to license and leverage it across other businesses?
George Barrios: Vince, mentioned how we were thinking about the New WWE and I think what people traditionally do is start with your core competencies and for us we’re great marketers, we’re great content creators and we’re great distributors. And we distribute it among the licensing channel, pay-per-view channels, TV channel, live event channel, home entertainment channel. So for us things that we could take whether it is some good IP and push it through those core competencies make a lot of sense. And I think there is just a whole world out there of that type of IP. And well, I don’t think you’d characterize WWE as a very large company what we have developed over the last 20 years is a decent amount of scale. And so we think there is the opportunity to create value in some of the non-sexy ways which is utilizing our infrastructure, so being able to acquire assets and not needing the redundancy of the infrastructure that currently exists in those assets. So we think there is value opportunities there.
Robert Routh: Great. Thank you very much.
Vince McMahon:  Thanks Robert.
Operator: Your next question comes from the line of Marla Backer.
Marla Backer: Thank you. Can you talk a little bit about, I guess, the timing of some of these initiatives, and I’m not asking for a timeline as to when you think you’ll launch. I mean, now we’re coming off of the weak economy where somewhere along the lines of a recovery, are you thinking that maybe you will be able to find things at attractive prices on the M&A front because of where we are in the recovery cycle? And then on the flip side in terms of launching the network, however, you choose to launch it, are we far enough along in the recovery that you think you will be able to reap the best of value at this point in time?
George Barrios: Yes. From our perspective the fact that we’ve got the balance sheet that we do and the debt capacity that we do and obviously those two things are related, I think that’s certainly a competitive advantage in terms of making a transaction happen because there is a lot players that don’t have those advantages. I think the real discipline on our end is making sure that you are buying something where you can add value, both strategically and then operationally. But certainly the strong balance sheet and where the world is today, I think that puts us in a position of strength. And as far as the network, I’m not sure that there is ever a good time to do anything. So I think what you want to do is optimize yourselves, take the opportunities when they’re in front of you, you can always find reasons to not do something. I think there is opportunities for us to take that film library, which as Robert mentioned before, because of accounting rules I don’t think it is the value that’s really reflected on the balance sheet. And really match the opportunities that exist with our ability to execute. I just think there is a real, real opportunity to do that. I mean, there is a, there might not be too much high probability to say that there is a land grab for content going on right now. I think we’re well positioned to take advantage of that.
Marla Backer: That makes a lot of sense. But I guess also just drilling down a little bit more what I was trying to get at in the first part of my question is, where are the multiples right now in an historical context. Are we looking at multiples that have come in and are kind of compressed right now because of where we are in the economy? Are you thinking you’ll get things a little bit on the cheap relative to where you could have purchased them, had you been out there looking a couple of years back? And have you actually seen anything right now that gives you a sense of where pricing is?
George Barrios: If you just look at the math S&P 500 is comprised about 25%, 30% over the last three years. So just on a relative basis, yes, things are much more purple today than they were three years ago. And I think that plays that matches up well with the strength of the balance sheet. To answer your question, yes, we have looked at things. I mentioned the constructs that we’re using to evaluate acquisitions and we’ve had some things come our way, but we’ve said not a good fit and moved on so.
Marla Backer: Okay. And when you’ve looked at these things and said not a good fair, are you also thinking that this will involve some additional internal infrastructure to integrate and support whatever it is you require?
George Barrios: I think if you look at our backend today if you look at corporate SG&A it’s probably around 10% to 12% from a headcount perspective just to give you a feel for that in the company. When we’ve been outlooking and you look at smaller scale companies that ratio can be anywhere between 25% and 40%. So we think there is a real opportunity to create value by not having to duplicate the infrastructure. And we’ve been doing a lot of work on the backend. I mean again things aren’t sexy, but on the system side for example we’re automating what in some cases were manual processes to see that. That also gives us the ability to scale up without adding infrastructure and then hopefully even eliminating some of the existing infrastructure. And obviously that has to be a good fit in terms of what the business is, but I believe there is an opportunity to do that to not just add value on the top line, but also add value on eliminating duplication of infrastructure.
Marla Backer: Thank you.
Operator: Your next question comes from the line of Michael Kupinski.
Michael Kupinski: Thanks for taking the question. My questions are more about the talent, it seems like obviously you brought back the Rock and may have gotten some boost in some interest in the audience levels because of that. But obviously it could have some disruptive developments because trying to develop storylines with your existing talent and so forth. We were just wondering, if you can just give me your view of how you feel the storylines are evolving and whether or not you are getting traction with the audience at this point?
Vince McMahon: Yes, I think we’re getting a lot of traction now. Rock coming back that gives us a more of an awareness than anything else, awareness of a group of our I guess individuals that were a bit older and now are attracted back to the brand, which then allows them to have the opportunity to brushup against some of our newer performers such as The Miz, who was in main event at this year’s WrestleMania, a year before he was in a preliminary match. I think it was the opening match. In addition to that, Alberto Del Rio is the character, who found himself in a main event, WrestleMania and wasn’t anywhere around the previous year. So, talent development is going very well and I believe that as a matter of fact we just had another one of our stalwarts in terms of performers, his name was, his character name was Edge and unfortunately Edge’s career is over due to medical reasons and that happened almost overnight. That we’re insulated now from something along those lines in his retirement, early retirement like frankly is not going to impact our gross and to our bottom-line for that matter. In terms of the talent pools, our talent pool is strengthening everyday with new performers and at the same time people like The Rock and bring back some of the older once to sample the product and to sample our storylines and things of that nature, which have gotten a better and better as the time goes on. The television product is result of the, you can look at the ratings and see is very, very good if not better than its ever been.
Michael Kupinski: It looks like you’re seeing at least somewhat stabilization in ticket prices domestically. I mean, do you anticipate that you can see some improvement in ticket prices going forward as a result of The Rock and so forth?
Vince McMahon: I think you are looking at that on an individual basis. And we are – it’s not just a wholesale price increase, I think that you know from a ring side standpoint, there is money there to be made. But in terms of the lower ticket prices, I think that’s important for us to be the best valued entertainment which is one of the things we call ourselves and we are. The Live Event ticket pricing on everything is extraordinary these days. Not just ticket prices but everything that goes along with it. There is a parking increase or increase for food costs or merchandizing cost or whatever for whatever it does. We have tremendous value. And again sometimes there will be a restructuring of our prices in terms of more of this level, less of that or whatever. But there is not going to be a wholesale increase.
Michael Kupinski: Okay. And just following up on the earlier question on pay-per-view, it seems like you – and tell me if I'm wrong, but it seems like you’re adding more promotional dollars behind the pay-per-view events, is that right? And I was just wondering if you have any changes in your strategy in terms of developing pay-per-view revenue?
George Barrios: We’re not adding more promotional dollars at large. I think it will depend again on the storyline and where we think there is the biggest, the most juice for the squeeze and where we allocate it, but in total we’re not adding more promotional dollars. We continue though to get more promotional value by working with our partners. I mean, that something that at least inside being here in the last three years, every year we get, our marketing team gets better and better and better at utilizing non-cash assets and working with our partners. So, you may get the feel of that additional promotional value, but it’s not necessarily a cash investment on our part.
Michael Kupinski: Okay. Thank you.
George Barrios:  Sure.
Operator:  (Operator Instructions)
Michael Weitz – Senior Vice President, Investor Relations: Do we have any more questions in the queue?
Operator: There are no further questions at this time.
Michael Weitz – Senior Vice President, Investor Relations: Thank you everyone. We appreciate you listening to the call today. If you have any questions, please do not hesitate to contact me, Michael Weitz, at 203-352-8642. Thank you.
Vince McMahon – Chairman and Chief Executive Officer: Thank you.
George Barrios – Chief Financial Officer: Thanks.
Operator: This does conclude today’s conference call. You may now disconnect.